Operator: Good morning, and thank you for joining Builders FirstSource Fourth Quarter and Full Year 2021 Conference Call. Michael Neese, Senior Vice President of Investor Relations for Builders FirstSource, will now provide the company's opening remarks.
Michael Neese: Thank you, Britney. Good morning, and welcome to our fourth quarter and full year 2021 earnings call. With me on the call are Dave Flitman, our CEO; and Peter Jackson, our CFO. Today, we will review our record fourth quarter and full year results for 2021. We've provided results that include BMC in the fourth quarter of 2021 and stand-alone BFS in the fourth quarter of 2020. We've also provided pro-forma results, as we own BMC in the fourth quarter of 2020. As a reminder, our adjusted EPS calculation excludes amortization of intangibles. The fourth quarter press release and investor presentation for today's call are available on our website at investors.bldr.com. On behalf of the entire company, we want to thank everyone who attended our Investor Day in-person or virtually and for your continued interest in and support of Builders FirstSource. I would encourage you to visit our Investor Day slides and commentary on our IR website at bldr.com. The results discussed today include GAAP and non-GAAP results adjusted for certain items. We provide these non-GAAP results for informational purposes and they should not be considered in isolation for the most directly comparable GAAP measures. You can find the reconciliation of these non-GAAP measures to the corresponding GAAP measures where applicable and a discussion of why we believe they can be useful to investors in our earnings press release, SEC filings and presentation. Our remarks in the press release, presentation and on this call, contain forward-looking and cautionary statements within the meaning of the Private Securities Litigation Reform Act and projections of future results. Please review the forward-looking statements section in today's press release and in our SEC filings for various factors that could cause our actual results to differ from forward-looking statements and projections. With that, I'll turn the call over to Dave.
Dave Flitman: Thanks, Mike. Good morning, everyone, and thanks for joining us. 2021 was a phenomenal year for our company. We achieved four straight quarters of double digit core organic growth, delivering above market performance and record results. I want to thank our more than 28,000 team members for an incredible year. I'm extremely proud of their outstanding results, despite the many supply chain challenges and strong demand that is impacting our industry. I'll cover three key topics on today's call, which speak to the strength of our business and the strategy that is enabling us to excel as a leader in our space. First, I'll provide an update on our record full-year results, including our base business and our view of the current state of the housing market. Peter will discuss our fourth quarter results in his remarks. Second, I'll provide an update on our tuck-in acquisitions that continue to strengthen our industry-leading market position. And finally, I'll provide an update on our digital strategy, which we laid out during our Investor Day in December. As you know, we are the nation's leading supplier of structural building and value-added products and services, primarily to the residential construction market. We are a consolidator in our industry with arguably the best balance sheet of anyone in the space. We have a long track record of successful execution, combined with a very strong value proposition, a highly differentiated platform, and an unwavering commitment to customer-focused solutions. We are now 14 months into combining BFS and BMC with plenty of low-hanging fruit remaining for us to continue to harvest as we look to accelerate growth, capture synergies, and drive new productivity. Before I review our full-year results, I would like to highlight an important slide from our Investor Day. As we discussed during that event, we believe it is important to assess our results on a base business basis to better appreciate the underlying growth and profitability of our company by normalizing commodity prices. As you can see on Slide 3, over the next four years, we expect our base business to deliver a 10% CAGR on the top line, a 15% adjusted EBITDA CAGR and, importantly, a 50 basis points per year improvement in adjusted EBITDA margin for a total of 200 basis points by 2025. Given the strength of our cash flow and the leverage target that we laid out last year between 1 and 2 times adjusted base business EBITDA, we expect to have $7 billion to $10 billion of capital to deploy through 2025, and we will put that capital to work through continued investments in innovation and organic growth, accretive tuck-in M&A, and returning capital to shareholders as evidenced by the recent announcement of our third $1 billion share repurchase program in the last seven months. Turning to Slide 4. On a pro forma basis, we delivered an impressive single family core organic growth of approximately 28% in 2021. Meaningfully exceeding the single family starts growth of 13.6%. We produced record sales of nearly $20 billion to deliver $3.1 billion of adjusted EBITDA and a record adjusted EBITDA margin of 15.4%. As you can see on Slide 5, our base business is strong as we grew sales by 26% to $15.2 billion in adjusted EBITDA by an outstanding 63%, while our adjusted EBITDA margin increased 250 basis points to 11.2%. Our momentum carried through the fourth quarter, in which we delivered $4.6 billion of revenue and an adjusted EBITDA margin of 17.1% on the strength of robust demand for housing, pricing discipline, and our continued focus on serving our customers with our value-added offerings. Last month, we attended the International Builders’ Show in Orlando. Based on our conversations with many customers and suppliers, we believe demand for single family housing will remain strong headed into the spring homebuilding season. We are encouraged from these anecdotal conversations, but more importantly, by the double digit top line increases that we have seen in our results so far this year. The number of single family homes under construction increased 27% in 2021 versus 2020. One fact I'd like to remind you of is that there are currently more single-family homes under construction across the country than there have been in more than 14 years. And the homebuilder backlog is currently at the highest level it's been in the last 15 years. Backlogs, in fact, were an estimated 145,000 single-family units authorized, but not yet started as of last month, up 32% year-over-year, an encouraging sign of continued demand strength. On Slide 6, you will see that we also remain focused on executing our strategy of investing in inorganic growth. We have completed seven acquisitions for $1.2 billion since we closed on the BMC merger, and we believe we can invest at least $500 million each year in accretive M&A to augment our organic growth strategy. And as such, we will remain a disciplined consolidator in our industry for many years to come as we continue to focus on expanding an attractive high-growth markets and product categories. On December 31, we closed on our most recent acquisition of National Lumber, the largest independent building materials supplier in New England. National Lumber operates 16 facilities and employs more than 700 people across Massachusetts, Connecticut and Rhode Island with a diverse mix of products and end markets. This acquisition adds to our value-added portfolio and provides a favorable R&R mix in the New England area where we previously did not have a presence. We're excited to welcome the National Lumber team members to the Builders FirstSource family. Now, let me provide a brief update on our digital strategy on Slide 7. As a reminder, during our Investor Day, we provided an in-depth commentary on Paradigm and how they anchor our digital strategy. Our teams are working with our customers to pilot our technology, aiming to improve the pre-construction process, create more accurate material lists, bring our supply partners into a digital workflow and better engage homebuyers. We're actively pursuing several initiatives to advance our digital transformation. Among them, we continue to deploy paradigm estimate across more markets to accelerate customer quotations, and we are working on a specific pilot with a customer in South Carolina to improve our understanding of how to connect the home builders front-end sales process, utilizing paradigm visualization technology to enable a full band execution model and enhance home-building efficiency. We're making investments and executing projects that we believe will put us at the center of the homebuilding ecosystem. While these concepts may be basic, relative to other industries, they simply do not yet exist the scale in residential homebuilding. We believe we're on our path to revolutionize our industry for the benefit of our customers and to us, this represents an incremental $1 billion growth opportunity over the next five years. Next, on Slide 8, I'm pleased to announce that we've delivered $32 million in BMC merger-related cost synergies during the fourth quarter for a total of $108 million for the full year 2021, I can also announce that we have achieved a synergy run rate of $160 million as we exited 2021, well in excess of our $130 million to $150 million commitment at the announcement of the merger, and we captured those synergies two years faster than what we initially projected. I couldn't be more pleased with the outcome of our merger integration. With our merger-related synergy capture now officially completed, we have turned our attention to ramping up our internal productivity efforts. In 2022, we expect to capture total P&L productivity and synergy savings of $150 million, and we'll provide updates on our progress as the year proceeds. I believe great companies, and we are one, drive productivity on an ongoing basis and reinvest a portion of those savings to fuel future growth. We unveiled our BFS 1-TEAM operating system at our Investor Day, and the best way to think about that is continuous improvement in three key areas of our business. The first two are building people and building excellence. And as we do those two well, we will deliver the third, which is driving growth. Long term, we are targeting 3% to 5% of the annual productivity improvement through our BFS 1-TEAM operating system. Looking at our progress as a combined company, we are clearly leveraging the strength of our industry-leading product portfolio, national network, and disciplined operating model alongside the robust demand environment to deliver exceptional growth, profitability, and free cash flow. We continue to execute on our strategic priorities to invest both organically and with M&A while returning capital to our shareholders through share repurchases. With a thoughtful and disciplined approach to deploying our capital, we are transforming the homebuilding industry through our investments in digital, expanding value-added offerings for our customers, and making strategic acquisitions that bolster and extend our industry leadership position. For 2022, we expect a continued strong execution by our team, combined with our diverse portfolio of value-added offerings, will enable us to deliver double-digit net sales and adjusted EBITDA growth in our base business. Our team members continue to impress me at every turn from the sales forward to the yard and everywhere in between. Their commitment to excellence is where it keeps this company moving forward, and I love to highlight their collective and individual progress. For example, Alonzo Christian, the delivery manager at our Williamsburg, Virginia lumber location, gets his team started at 5:00 AM to ensure that Builders FirstSource trucks are the first out every morning to maximize seeing our customers each day. Not only does this give us a strategic advantage, but it shows our customers that BFS will be there for them when they need it, especially as they confront supply chain and labor challenges. With Alonzo's leadership, the yard runs efficiently and safely with no recordable injuries over the past five years, coupled with remarkably low-operating expenses and team member turnover. In total, we've made great progress in keeping our people safe. In the last year, we delivered an 18% reduction in recordable injuries across the company, beating our 10% reduction target, and we have another 10% improvement targeted for this year. It's a journey that never ends and we're getting better, but we're not going to stop. Our goal is zero. I'm grateful to team members like Alonzo who embody our core values, putting people first and showing our customers why BFS is the most valuable partner in the industry. With that, let me turn the call over to Peter to go through a detailed look at our Q4 results and provide an update on our new share repurchase program and our 2022 updated financial guidance.
Peter Jackson: Thank you, Dave, and good morning, everyone. I want to add my thanks to our team members for delivering an outstanding and record 2021. We wouldn't have been able to deliver such fantastic results without your hard work, your dedication, and your focus on our customers. I will cover three topics with you this morning. First, I'll review our fourth quarter results compared to combined pro forma results from the prior-year quarter. Second, I'll update you on our capital deployment. And third, I'll provide you with our updated guidance for the full-year 2022. Let's begin with our Q4 performance on Slide 9. We had net sales of $4.6 billion for the quarter, which increased approximately 24% compared to the combined pro forma prior-year period. Value-added core organic sales grew by an estimated 28%, highlighting our work to meet the strong demand across our value-added channels, especially impressive given the continued supply chain constraints. Despite the price volatility, commodity price inflation benefited net sales by 5% and acquisitions contributed another 7%. Gross profit was $1.5 billion, an increase of 52% compared with the combined pro forma prior year period. Gross margin increased 610 basis points to 32.1%, driven mainly by cost increases coupled with disciplined pricing, as well as effective and timely sourcing in a volatile, supply constrained marketplace. For the full year, our gross margin increased 360 basis points to 29.4%. Following this recent performance and our increasing mix of value-added products, we believe our normalized gross margins will now be approximately 27% or better compared to our prior expectation of 26.5%, a 50 basis point increase. For the quarter, SG&A was $864 million, an increase of approximately $189 million or 28% compared to the combined pro-forma prior-year period, driven primarily by expense related to the BMC merger and other acquisitions, including amortization expense of acquired intangibles and onetime charges. As a percentage of net sales, total SG&A increased by 60 basis points to 18.6%. Adjusted EBITDA increased 110% to $793.4 million, driven by solid demand across our key customer end markets, combined with disciplined pricing on increasing costs. Adjusted EBITDA margin improved to 17.1%, which increased 700 basis points compared to the year-over-year pro-forma period. In the fourth quarter, net income was $442.5 million or $2.31 per share compared to combined pro forma net income of $200.7 million or $0.96 per share in the same period a year ago. Adjusted net income was $532.4 million or $2.78 of adjusted EPS. This compares to a combined pro forma adjusted net income of $225.5 million or $1.08 of adjusted EPS in the prior-year period. The 136.1% increase in adjusted net income was primarily driven by the increase in net sales and gross margin, partially offset by higher income tax and SG&A expense. The 157.4% increase in adjusted EPS is driven by the increase in adjusted net income coupled with our reduced share count, which I'll cover in a moment. Now, let's turn to cash flow. Our fourth quarter operating cash flow was approximately $840 million, driven by increased net sales and the impact of inflation. Free cash flow was $774 million during the quarter. Turning to Slide 12, for 2021, our full year free cash was an inflow of $1.5 billion, primarily driven by the impact of commodity inflation and core organic growth. The free cash flow for 2021 was a bit lower than our forecasted guide as a result of higher than expected sales driving an increase in year-end working capital due in large part to rising commodity prices later in the year. Let's turn to our capital deployment. For the full year of 2021, our M&A bolt-on strategy resulted in our purchasing seven companies for approximately $1.2 billion. In addition, in the fourth quarter, we repurchased approximately 16.5 million shares of BFS common stock at an average price of $70.89 for a total cost of approximately $1.2 billion. Since the inception of our share repurchase programs in August of 2021, we have repurchased 30.6 million shares of common stock at an aggregate cost of $2 billion for an average price of $65.43 per share. That's more than 15% of our shares outstanding while maintaining a rock solid balance sheet. We have completed the share repurchase programs authorized in August and November of 2021. In February 2022, the board then authorized another $1 billion share repurchase program. As we mentioned during the Investor Day, we plan to deploy $5 billion to $7 billion of capital by 2025. Of the $3 billion of share repurchase authorizations announced today, $2 million pass towards our target. We accelerated $700 million of the second-billion authorization at the end of 2021 and finished the remaining $300 million in January. As you may have seen, last month, we completed a private offering of an additional $300 million of our 2032 notes at an issue price equal to 105% of our value. Net proceeds from the offerings were used to repay borrowings on the 2026 ABL facility. In addition, the company amended the 2026 facility to increase the total commitments by an aggregate amount of $400 million, resulting in a new $1.8 billion amended credit facility. Also on Slide 12, our pro forma net debt to EBITDA ratio was approximately 1.7 times our base business EBITDA. Excluding our ABL, we have no long term debt maturities until 2027, and our total liquidity was over $700 million as of year-end, consisting of about $686 million in net borrowing availability and $43 million in cash. Our fourth quarter and full-year 2021 results were tremendous. The merger of BFS and BMC has gone better than expected, the combined field sales team is driving higher margin products and delivering value to our customers, and our balance sheet is strong. Let's change gears and discuss our 2022 full year outlook on Slide 13. We continue to see strong underlying demand in new housing construction. We are estimating single family starts growth across our geographies in the middle single digits. R&R and Multi Family growth in the low-to-mid-single digits. Going forward, we are going to provide you with our base business guide on net sales and EBITDA as we believe this is a better measurement of our performance and assumes constant commodity costs at $400 per thousand. We'll continue to provide you with a commodity price sensitivity chart to allow you to incorporate your own commodity estimates into your models. We expect base business net sales to grow approximately 8% to 12% over 2021 net sales of $15.7 billion. We expect base business adjusted EBITDA to grow 12% to 18% over 2021 adjusted EBITDA of $1.8 billion. The growth in these metrics is consistent with the long-term plan we communicated our December 7 Investor Day. CapEx is projected to be approximately $400 million in 2022. The increase from prior year is due to adding capacity in several of our facilities, largely related to value-added growth initiatives that will drive higher-margin results. In 2022, we expect productivity gains will contribute another $150 million to EBITDA, of which $50 million will come from the realization of BMC synergies. We believe free cash flow will be in the range of $1.6 billion to $2 billion, assuming an average commodity price in the range of $600 to $1,000 for the year. This assumes working capital coming down due to lower commodity prices in the back half of 2022. On Slide 14, we provide the sensitivity chart I mentioned, providing a way to think about our total sales and total adjusted EBITDA for the full year 2022 at various static commodity price points. It's important to note that our base business outlook is the same under any of these commodity assumptions. While we are not providing explicit guidance for total sales in total adjusted EBITDA, we believe this table is helpful in understanding the relationship between expected base commodity performance and total results under various commodity assumptions. We believe 2022 will be another strong year of growing our value-added products and profitability, outperforming the market, introducing innovative technology, and driving operational excellence across our geographic footprint. I'm proud of our 2021 performance and excited for what is in store for 2022. With that, let me turn the call back to Dave for his closing remarks.
Dave Flitman: Thank you, Peter. In summary, the homebuilding industry is resilient, underbuilt, and we believe will continue to grow in 2022. As a result of the hard work of our team members every day, our company's momentum remains strong. We are leveraging our industry-leading platform to grow and sustain our profitability and will continue to benefit from our robust record free cash flow generation. We are poised to transform the homebuilding industry through our investments in value-added products and services and expanding our digital offerings. Our M&A pipeline remains strong and attractive, and we have the balance sheet to continue to execute on this important pillar of our strategy. We will remain disciplined in doing so. We are committed to a balanced approach to capital deployment and in our most recent $1 billion Committed to a balanced approach to capital deployment, and our most recent $1 billion share repurchase authorization is another indication of this commitment. We have a very clear and simple business strategy that our team is fully committed to implementing, and I've never been more excited about our potential in our future. Britney, let’s please open the call for questions.
Operator: [Operator Instructions] And we will take our first question from Matthew Bouley with Barclays. Your line is now open.
Matthew Bouley: So, I want to start the question on the digital slide. Very helpful color there and everything you’ve done for the past few months. Can you - I guess a two-partner. Number one, can you speak specifically that minimum viable product, is that the integration of Builder Omni and Estimator, kind of what stage are you in there? And part two is just more broadly, what are some of the next batch benchmarks that we, as analysts and investors can look out for on the digital progress this year? Thank you.
Dave Flitman: Sure. Great question, Matt. We outlined a lot of this at our Investor Day, but as we anticipated and communicated in the Investor Day, we do anticipate the next year to 18 months to be heavily development-focused. So to your point, we are taking Estimate, Omni for homebuilders and building this transactional capability that we spoke about. Importantly, in terms of milestones, again, we're going to be headed down this year, pouring in a lot of energy around development. And I think, we spoke about one pilot that we have going on in South Carolina. There are several other pilots that we have going on testing various theories of our case and how we might put this platform together. And I just would expect that we will continue the share progress as we learn through those and certainly as we work towards the commercialization of the platform through the course of time.
Matthew Bouley: Thanks, Dave. And then secondly, I want to ask on that step up in CapEx. Peter, I heard you say you're sort of pressing on adding capacity. I think in the past, we had thought that even the truss plans were relatively low spend from a dollar perspective. So, I guess the question is just sort of what level of capacity are you looking to add here? Does this also include kind of step up in digital investment and other automation? Just what are some of the pieces of that stepped up CapEx guide? Thank you.
Peter Jackson: Yes. Thanks, Matt. That's a great question. I think you hit the nail on the head with your initial comments. The focus is really around value add. And what you're seeing here is that the same fleet size of the company having grown substantially as well as the acceleration we're trying to invest in. So this is new facilities. We have a number of those and we'll continue to talk about them. This is new lines within existing facilities. It's new equipment within existing lines, in existing facilities, and as well as the maintenance and the core of the operation rights. We're talking about fleet and force and all the different markets and things that we would need throughout the business. A little bit of inflation in there, but the bulk of it is core, the core maintenance and a substantial increase on that value add - value add side of the business. We're seeing a ton of demand. We're certainly seeing capacity particularly in hot markets be used up very, very quickly. And we're trying to make sure we stay on our front foot and stay aggressive given our cash flow and what we're able to do with it.
Operator: And we will take our next question from Mike Dahl with RBC Capital Markets. Your line is now open
Unidentified Analyst: It’s actually, [Chris Cohen]. Congrats on the results. Very impressive stuff so far. I want to touch on the free cash flow guidance for next year, $1.6 billion to $2 billion is very impressive, particularly given the step up in CapEx. So, I was wondering, obviously, commodity - the commodity outlook is going to dictate the range a bit, but I was hoping you could help give us your thoughts on what you're expecting from the non-commodity side of business. Obviously, incrementals have been very strong so far this year, and I was wondering you could touch on the outlook there and some of the other puts and takes embedded in that guide.
Peter Jackson: Sure. Yes. I mean, to talk to the basics, we are expecting to continue to see good growth. You know we have to give you a commodity range in order to make the cash flow work. Right? It’s not a base business metric. Cash flow isn't leased. So we did give you a midpoint. Your guess is as good or better than mine in terms of what commodities will be. Our job is to make sure we continue to deliver on profitable business related to it. But the overall growth - you saw top line in the base business being a midpoint of 10% in line with what we did, too, in Investor Day. Again the EBITDA growing midpoint of that 15% in line with what we said on Investor Day. In that fall through, we think we'll continue to work in line with our discipline around working capital. And what we've seen is it's still a healthy market, while there is certainly a lack of availability and supply in certain key areas. We are managing both our air and inventory very well, and I think the balance of our working capital is still healthy, so that combination, along with the other components which we have here in terms of the inputs on the cash flow are pretty much in line with prior year. And we think that certainly supports our commentary around the strong cash flow that we have seen and we expect to continue to see from this business in the coming years and kind of circles back to that Investor Day commentaries. We think by 2025, we’re going to be deploying between $7 billion and $10 billion of cash, this is one installment of that cash.
Unidentified Analyst: Understood. And just turning to capital allocations, I was hoping you could maybe give us your thoughts on priorities here. Obviously, the free cash flow supports a lot of options that are just - just your latest thoughts.
Dave Flitman: Yes, I would - this is Dave. I don't expect any change in our approach to capital allocation. We always have said and stated publicly that our first priority is to invest and grow organically inside our company. And as Peter just highlighted for you, we have great opportunities and have been doing that. Secondly, is finding the right accretive M&A to do and appoint for our $1.2 billion of spend in that area last year. And finally, where we have excess cash, we will return it to our shareholders. So, I don't expect any near-term shift in what we said are our priorities.
Operator: And we will take our next question from Ketan Mamtora with BMO Capital Markets.
Ketan Mamtora: And let me add my congratulations as well. I was just curious if you can just give us quick update on how some of these recent tuck-in M&As have gone and sort of your early read on how the integration is going there, whether it's the Arizona [indiscernible] in California?
Dave Flitman: Yes. I would just say that every one of the acquisitions that we did last year, we were excited about the day we announced them, and we're even more excited about them once we've got through the integration. Our most recent one, National Lumber, we've got a great team up there. Again, that's an area where we didn't have a footprint. As you know, not a tremendous region for starters, but they have an increased mix of R&R business and are the market leader across those three states. So consistent with how we've approached those acquisitions in times past, we're looking to augment our capability and our mix through value-added R&R and strengthen our footprint either in geographies where we do have a presence and are underrepresented in some of the value-added portions of the business or go in with scale into a market where we haven't been like you just saw us do in National - with National. And also s you saw us do with Alliance last summer in Arizona.
Ketan Mamtora: And then just on the supply chain side, I'm just curious on what you guys are seeing in terms of material availability, so absenteeism from just a labor standpoint. Is that really driving growth and offsite performance as you talk with your customers.
Dave Flitman: Yes. I mean, we've seen continued trends consistent with what we've talked about as recently as Investor Day. Those labor challenges and supply chain challenges have not abated. There might be pockets of improvement in some product areas but, broadly, is still challenged. I think that's consistent with what you've heard on a recent homebuilder commentary. And again, our value-added component adoption in particular, is strong. We've been driving that trend for a number of years, and we've just continued to see that accelerate really broadly across all of our geographies as our customers have gotten more comfortable with the offerings, importantly, continue to fight those labor challenges, which we believe are going to persist for a long time to come. So, we see strong tailwind both in terms of demand as well as the adoption of the value-added portions of our business.
Operator: We will take our next question from Adam Baumgarten with Zelman. Your line is open.
Adam Baumgarten: Just thinking about maybe the new construction business. Just what are you guys seeing on homebuilder cycle times? It seems like they extended a bit in 4Q. Just curious if year-to-date here, if you’ve seen that continue, or maybe there's some stabilization?
Dave Flitman: Well, I think as you point out, Adam, I mean, we saw cycle times extend really going back to early days of the pandemic, given the ramp up in the demand and the supply chain challenges, which kind of overlaid with that. We really haven't seen that abate significantly through the course of time here. And importantly, I think, even if we were going to see some improvement on the supply chain side, what happened when Omicron hit was we saw a lot of our suppliers face those challenges late last year, and in particular in January of this year. And we're just unable really to catch up on the backlog. So, we really haven't seen any abatement of the supply chain challenges broadly. Like I said earlier, maybe a few pockets of improvement, but things are kind of status quo on that front from our view.
Adam Baumgarten: And then just thinking about guidance, the base business revenue growth of 8% to 12%, how should we think about the price versus volume split there?
Peter Jackson: Well, I mean, we've certainly seen strong margins over the last year. There has been a lot of work as we've described in the past that improving our management of price, we've seen a tremendous amount of movement on the cost side and trying to stay very disciplined in their pass-through disciplines around that as well. As you look at both 2021 and 2022, we do believe there was some improvement in price. We haven’t given the split historically. We probably won't do that for the foreseeable future, but certainly seeing both of those as being tailwinds for us in both 20221 and 2022.
Operator: We will take our next question from Trey Grooms with Stephens Inc. Your line is now open.
Trey Grooms: Dave, you mentioned seeing double-digit growth so far this year. I missed it in the comments maybe. But was that overall or was that in the base business?
Dave Flitman: That was overall across our business. But importantly, we're talking about kind of organic volume growth across the company here in the first couple of months.
Trey Grooms: Okay. Organic. Got it. And then on the incremental margins, I know you touched on it a little bit earlier, but just to get into the weeds a little bit more here. You put up strong incremental margins on the base business in 2021. And in 2022, the guide implies kind of a wide range there. I think it's like 12% to 26%, I think it might be the range on incremental margins. And I think the midpoint, something like 17%. So, could you talk about what are some of the puts and takes there that could get us to the high or low end of that range, given that it is a pretty wide range there?
Peter Jackson: Yes, Trey. This is Peter. So, my goal there was to give you guys a range of our outcomes. I think we all understand the volatility of some of that inputs this year. We've certainly got a few curveballs thrown at us already in 2022. I - what I will tell you as we build out our plans and look at the materials that the field is prepared in conjunction with their conversations with customers with our plans for new facilities, for productivity, for all the initiatives we're managing internally. We are really on that midpoint. That's where we think it'll be. Now, certainly, the potential for movements up and down and the supply chain availability movements up and down to starts that we think that will influence within supply chain is really the biggest limiting factor today. External factors, probably not as big of a deal, I don't think we're seeing a lot of risk associated with anything to do with what's going on in Europe and Ukraine right now. I think most of what we're looking at is the work around clearing those supply chain backlogs and continuing to get labor into job sites or at least into manufacturing facilities that need those job sites to make sure we're keeping the process flowing. But those are the big variables.
Operator: We will take our next question from Steven Ramsey with Thompson Research Group. Your line is now open.
Steven Ramsey: To start on windows, millwork, and doors, you’ve got strong organic growth there. You talked about material availability improving. Was that broadly where certain products within that group? And then secondly, it seems like production from the manufacturers was more challenged in December and January with COVID. Do you think this tightens again in the next few months?
Dave Flitman: And just my comments earlier weren't aimed at any particular product category. We have seen a little abatement in a few. I might mention interior doors, but exteriors are still very tight, so it really varies. Windows might be incrementally better on lead times than they were six months ago, but they're still double-digit weeks kind of lead time. So, that's my point. Incremental improvement but not any major relief broadly across the supply chain, Steven, is what I point to.
Steven Ramsey: And then CapEx nearly doubling year-over-year for greater revenue capacity. Is this broad CapEx or is this targeted geographically? And then how much of this is potentially delayed spend from 2021?
Peter Jackson: Yes. So geographically speaking, I think it's a little bit predictable. Where we're putting new capacity is where there is a lot of growth. The smile phase or the banana phase, whatever descriptor you choose, those southern and coastal stars-focused communities is where we're particularly strong and certainly seeing, over time, an increased adoption of that manufactured product offering whereas, historically, maybe it wasn't as concentrated as northern state. So a lot of focus definitely in value add. And in those states, I don't think there's much in the way of catch-up. Off at the top of my head, I can't think of anything that we've deferred at all. It's somewhat to do maybe catchup if you want to attribute it to supply chain and availability issues. We've seen a little bit of improved relief in some of those categories. Again, not as much as we'd like but, as Dave mentioned, incremental improvement.
Operator: We'll take our next question from David Manthey with Baird. Your line is open.
David Manthey: First off, on the 2021 base of revenues and EBITDA on Slide 13, is it correct to assume that those figures exclude the divested gypsum operations and exclude all 2021 acquisitions?
Peter Jackson: So, we did exclude - well, because the business wasn't owned, we do not have anything included. We didn't go back into the prior periods and pull it out. It's actuals. To that end, what we purchased the component of the year is included, so you'll get the lapping effect of the 2022 or on 2022 for both of those.
David Manthey: Yes, mainly to follow up on that definition. But just as you look at the 2022 growth outlook and then the information on Slide 14, those include known acquisitions then is what you're saying, Peter?
Peter Jackson: They include closed acquisitions. Right? So, we, of course, are continuing as we described to pursue M&A opportunities, but we don't have any forecast in there in 2022 for what incremental ones, just what we've already closed as of year-end. So, including national, but nothing beyond that.
David Manthey: Okay. And then another definition factor here. Year-to-date, obviously, lumber has averaged well over $1,000 per 1,000, but does your assumption of $400 lumber include the two months that are actuals and then the remainder at $400 or less than $400. Or are you just straight lining $400 from January 1, 2022 without regard of what actually happened here year-to-date?
Peter Jackson: Yes - no, that’s a great question. And I think our goal of here is to be very, very static in all of the commentary we're making about commodities. Everything based assumes $400 for every period, for every year always. We’ll let you know of that $400. We think it's appropriate to change that $400 at some point, but for the time being, $400 is the number and applies equally to all those periods. So, why –it’s why I’ve used the phrase static a few times, because as we all know, commodities is - if it's one thing, it's not static. But in order to give you a nice clean comparison to help you understand the core of the business, that base business metric, that's why we use that. So our number, if you want to think about it this way for cash, assumes that $600 to $1,000, that's an average. It’s an average for the year, and it would assume that we would be in the midpoint of that in order to generate that kind of cash flow. And so, if you're thinking about the sensitivity page, we'd like you to think about your average for the year, sort not just emulate or replicate a static commodity number for the year. Does that help?
Operator: We will take our next question from Collin Verron with Jefferies. Your line is now open.
Collin Verron: Just given the rising interest rates and affordability pressures, what gives you confidence that single family starts will grow in that mid-single digit range? And I guess, how are you thinking about growth in 2023 and 2024 if rates continue to rise and pressure affordability?
Dave Flitman: Yes. I would say obviously we've been talking about affordability challenges for quite some time. I would characterize our confidence around two things. First of all, a lot of in-depth conversations with our customers and suppliers as we've talked about the strength of the backlog, which I commented on. And importantly, two underlying fundamentals here that are probably much different than in times past. First is just the demand strength that we've seen over the last several years. We're talking about millennials who's driving the home buying, particularly the first time buyer or this first time step-up buyer. That dynamic has not changed. And secondly and importantly, and we've talked about this at length, the huge overbuilding that's occurred in this industry over the last decade and overlaid with that strong demand. We have a lot of confidence that that will continue to drive growth not only this year, but for a long time to come. At some point, the interest rates could become a factor. We're certainly not hearing that at current levels from our customers today.
Collin Verron: And then how should we think about the cadence of base business sales growth in 2022 just given the pretty difficult comps that you're going to be facing and the current backlog of homes that are still under construction in the US?
Dave Flitman: Yes. So, on the base business side, it's consistent, right, with the overall growth. You're right about the costs getting more difficult, right? And we had a pretty nice stretch there of solid double-digit percentage growth. We think that will slow this year, obviously. But I think as you look at the actions being taken in the market, we hope to see or we expect to see incremental, as Dave mentioned, over time, relief on supply chain side. And we think that’ll roll out of the market to continue to accelerate. Again, that demand, for a variety of reasons, we think is very, very healthy. So there's room for growth, both from orders already taken but we think from customers eager to get in as well.
Collin Verron: Okay. And just to clarify, I guess does that mean that growth - sales growth will be more back half-weighted in 2022 just given the difficult comps and supply chain loosening or do you think you can deliver pretty consistent growth throughout the year?
Dave Flitman: I think it's more of the latter. We saw growth all year. We'll need to continue to see incremental as the year goes on. We think that will be supported with that relief on the supply chain side.
Operator: We will take our next question from Keith Hughes with Truist. Your line is now open.
Keith Hughes: Thank you. On the base business growth that you've highlighted, I assume your manufacturing products will be growing faster than that. Give me an idea of what you're thinking in this guidance and how much can you - I mean, what's your limit average there given capacity?
Peter Jackson: We don't break it out at that manufacture product level in terms of specific guide, but you're right. It is growing faster. I think that really what you're seeing now, Keith, is the next leg of the growth that we've been hoping for, and that's the expansion of the utilization of those manufactured products into markets that historically haven't adopted it. Some of the southern markets where you have not seen the adoption of manufactured products because there was a substantial amount of available framing labor, and it was relatively cheap. The nature of the speed of the recovery and how aggressive homebuilders are being trying to get homes built, trying to compensate for the extended build cycles is really, really common to fruit on the tree of manufactured products. We are seeing rapid growth there. We talk about manufacturing - or how value add was up 28%, high 20s across the board for 2021. Those are heady numbers, but we think we can continue to see growth. The challenge for us is we sort of harvested the second shift stop, now you're talking about really putting to work the numbers that we're investing in, that real new capacity. We feel good about it. We have a great track record of doing it, and we expect it will continue to grow those strong double digits definitely better than the rest of the business throughout 2022.
Operator: We will take our next question from Kurt Yinger with D.A. Davidson. Your line is open.
Kurt Yinger: I just wanted to start out on the pricing side in Q4. Could you just talk about some of the dynamics that drove commodity to be a year-over-year tailwind? Just looking at the composites on the lumber and panel side, kind of flat to lower. And then as we think about modeling the impact from commodity fluctuations going forward, is there a certain level of other inflation being passed through there that we should be considering in terms of maybe dampening that downside?
Dave Flitman: So, well, a couple of comments. First of all, you're right. It was pretty dynamic, right? We had talked openly about how we felt like it was important to use $400 as our long-term average We're at about the 10-year average for commodity prices. And I think it's fair to say that I took a little grief over putting that number out there, but we kind of saw that number in September. So, a lot of volatility last year to go to 1,600 to 400 million back to 1,300 plus right now. A lot of that flow through in terms of volatility in the fourth quarter. The fall and when the products came through, then the run, and when we started to see the impacts on working capital in sales, that’s a big piece. Those are always tricky to guide you on and to give you some good tools. It's the turn that's always the most difficult part model, as you know. What we expect to happen is sort of consistent and then we will continue to focus on passing through cost pricing on replacement, staying disciplined about what we have availability on and being careful to support customers and be clear and candid with them about what they can get and what they can't and why but are disciplined around pricing, around inventory purchases and around inventory management. And on the ground days, it continues and we will continue to invest in it over time. I think that to reiterate something that maybe I - maybe you heard me say in the past, we do think there is a moderation on the amount of gross margin tailwind and headwind versus who we have been in past the year. We think as prices inflate and deflate as they do in commodities, we are seeing less of an expansion and contraction in our gross margins than we have historically.
Kurt Yinger: And I guess kind of leads in to my second question. Could you just talk about how the gross margins could you just talk about how the gross margins trended over the course of the quarter and what you're seeing in Q1 as commodities have really taken off? And then second, is that 27% kind of normalized gross margin, what's embedded, I guess, loosely within that profitability grid in terms of at the different lumber and panel price levels?
Peter Jackson: Yes. So, let me draw a distinction that that normalized is ignoring anything unusual or outside of the base business metric for commodity prices. So, just to say right, this is at normal banks at normal prices, we think we're at 27%. There is another layer that I'm sure you appreciate. I think we are seeing unusual margins based on the supply chain issues that we're experiencing right now. I don't want to give anybody the impression that 29%, 32% margins or the reduced margins if you exclude the commodity component and just look at phase that those are normal. We think we're in a bit of a displaced time right now. We think over time, things will refer back to a normalized gross margins of around 27% or better. Obviously, we're doing our best to manage that carefully, to improve our productivity, to add overall performance to those gross margin numbers. But we're trying to give people an insight that as we've seen that value add grow and as we've seen our business stabilize around the country, we feel very good about our ability to revalue for what we're providing and to partner with customers. And we think 27% gross margin is a better basis. We've certainly seen strong performance both in the fourth quarter and into Q1. I think that's been pretty consistent, even though we're laughing more difficult comps on the revenue line.
Operator: We will take our next question from Stanley Elliott with Stifel. Your line is open.
Stanley Elliott: Thank you, guys for fitting me in. A quick question about the national lumber, you mentioned the integration’s going well. That’s got such a higher mix of our R&R, is there any way to comment on what you're learning from that particular market. As at the Analyst Day, you guys talked about trying to expand the R&R part of the business overall. Curious what you've learned so far from that integration?
Peter Jackson: Well, it's early days and obviously, more color to come on that. We’ve got them for - right at two months. We got a company full of great people that have a very strong market position, and that's more an R&R market up there. So, what we are learning is the product portfolio that they have, the growth that they've developed consistently over time aimed at R&R. I’m sure there’ll be significant learnings for us that we can expand our thinking around, across the company through the course of time. But it's early days now. We've been working to get the teams aligned and make sure that the team was confident there that we weren't coming in to change anything significantly in the business, and get them in part of the family. And that's really the - it’s early days to draw in significant conclusions.
Dave Flitman: The only thing I'd add is that national joins a freely group of R&R businesses within the Builders FirstSource family already, TWParry, the Dixieline business, Pinar's business. We certainly have R&R exposure around the country. So really, we're to be able to learn from each other, right, share best practices, look for ways to grow and continue to make that an important part of our growth now.
Stanley Elliott: No. A good fit for sure. And then quickly on the - some of the Paradigm tests you guys are doing in South Carolina and other markets, to what extent are you guys pushing kind of this whole house take off like you've done or like you talked about at the Analyst Day, and what other products that you're trying to put into the kind of the systems here?
Peter Jackson: Well, obviously, that's the vision, and that's where we're going. It's early days, and as I mentioned, a lot of heavy development we're going into to develop the theory of that case, and we're going to do it in pieces through the course of time. And that's really what the different pilots are aimed at - or developing those statements with customers and iterating our design and our thinking as we need to. So, certainly have not changed the focus on where we're heading. And we'll share more about our progress here as we make it.
Operator: We will take our next question from Reuben Garner with The Benchmark Company. Your line is open.
Reuben Garner: Thanks. Good morning, guys, and congrats on the strong close to the year. Peter, you mentioned or you were discussing the 27% gross margin. Just a clarification about that. So, the - what mix are you assuming there? Is that 60:40 mix between the manufactured or value-added products and commodity? Or, I guess, just help me walk through that math. And maybe what's changed the most from the way you guys used to talk about gross margin a few years ago? Is it more mix driven? Is it synergies from the all the deals you've done? Is it just operational improvements, or is it a combination of all three?
Dave Flitman: Yes. The end of your second question, first, certainly a combination of all of them. On page five, you can see our base business product mix that you should think about in light of that 27%. And over time, that number associated with value-added product mix continues to increase. Certainly, we do well with specialty products as well, but that increase in value-added business the incremental margin that we're able to see in that part of the business because of the incremental value we're providing customers, that combines for us to give us confidence. But you're right. We are working on productivity. There are initiatives within our manufacturing facilities, discipline in pricing management, operations management, all the synergies we've seen from the combination of the businesses we purchased and, just in general, that growth of the business and improved leverage from our improved scale. So it is a combination, but that's a really positive thing, we think, for us being able to get more and more comfortable with that 27% plus normalized gross margin number on base business.
Reuben Garner: That's helpful. And then the - more of a longer-term strategic type question with the software play. So you guys have some expertise or some capabilities already in some of the categories in the house, windows, and doors or trusses or other manufactured products. But as you build out the software's capabilities to get into some other areas that you maybe don't participate in, say like, I don't know, paint, drywall, whatever they may be, do we - should we look for you guys to maybe build that out organically? Would that require future M&A? How do we think about longer term and how are you going to build that capability out?
Peter Jackson: Yes. I would say think about it in the context right now of us building this platform to sell more of our products to our existing customers and look for ways to add new customers. We talked at Investor Day about - and in other conversations about playing to our strengths around design capability, our vision around the whole house design and embedding our products in there. I think it's way too premature to talk about what other products might look like. Certainly, you've heard me say out loud, we don't need to back or integrate into other product categories at the moment. That's certainly not part of the vision today. It's hunkering down, building out the capability that aligns with our strengths today and getting more of them into our model. So…
Operator: And we will take our next question from Ryan Gilbert with BTIG. Your line is open.
Ryan Gilbert: First question - the first question is just on - just the really strong growth you saw in single family core organic, up 14% against. Housing starts maybe, single family starts anyways, down 5% in the fourth quarter. Do you think that differential between the two represents maybe a lag between the single family starts growth that we saw earlier in 2021 and BLDR’s revenue recognition? Or is that more a function of market share gains that you achieved in the quarter?
Peter Jackson: Yes. No, that was a great question, Ryan. And then you've heard me talk about this before, in any given quarter, it's extremely difficult to align starts with sales and market share. But what I think you're seeing here is kind of what we committed to or what we told you was going to happen in past quarters. There have been periods where our growth looked like share declined. This is a period where it looks like a pretty healthy share expansion. I think if you look at it over time, we are continuing to take share in modest increments as we continue to deliver a superior product and partner with our customers. What you saw in this period, if I take you down to another layer of granularity is some rebounding in some of those windows, stores, and millwork categories, for example, where the supply free up a little bit. And the timing of the builds started to move through those components. Obviously, the fourth quarter is a big push point for many of the homebuilders just for them to do their completions so that they can get credit for the homes sold. So that's a lot of, I think, what you're seeing. It's just hard to in any given quarter sort of conclude on the numbers that you're winning or gaining. I think of winning or losing. But I think over the medium and long-term trend, we certainly feel good about our market share gains.
Dave Flitman: Yes. We are gaining share. Just to add to Peter's comment there, I would point not to the quarterly data, but if you look more broadly on what we did in 2021 with that 28% in single-family core organic growth versus roughly half that in terms of starts, I think that's a good judge. It gives us confidence that we are taking share in particular with the value-added components in millwork, which we're really pushing hard with our customers. So, we're seeing great adoption there as Peter commented earlier.
Ryan Gilbert: Second question is on the value-add product mix. It sounds like a lot of that's demand-driven, but maybe you can just give some broad brushes around what you're seeing on - in terms of I guess both value-add mix for revenue and value-add mix driving margin higher from just demand from your end markets versus your ability to drive more cross-selling volume with the - with BMC and BLDR combined?
Peter Jackson: Well, I think it's a little bit of both. And we are very excited about the combination here. And as you might have heard us say in the past, even where we overlap in some of the major markets, the product capabilities were very complementary. Builders was legacy, Builders was much stronger in components more broadly across the country. BMC had a really good core strength around millwork. So, it's given us a nice opportunity here to add to the breadth of our offering for our customers. And I think that's also playing into our growth. Our customers aren’t feeling the need to go elsewhere to get their product or their needs met because we've got such breadth and depth and capability across our portfolio. So - and then as we’ve commented here, we are seeing increased adoption in all the areas of value-add. And it takes time, particularly as we've talked about in the south and east which were legacy state-framing markets. It's taken us a number of years to consistently get our customers and the framers comfortable with moving towards the value-added portions of the business. But what we found is we found in other markets is once you reached that tipping point, the adoption rates accelerate. That's certainly been what we've experienced.
Operator: We have no further questions on the line at this time. I will turn the program back over to Mike Neese for any additional or closing remarks.
Michael Neese: Thank you, Britney. And thank you for your time today and for your interest in Builders FirstSource. Have a great day.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time, and have a wonderful day.